Operator: Good morning, ladies and gentlemen. Welcome to the results presentation of Enagas, corresponding to Q1 2016. The results have been published this morning before the opening of the stock exchange and are ready and available at our website, enagas.es. 
 Mr. Antonio Llardén, President of Enagás, will lead the presentation. We have foreseen a duration of 20 minutes for the conference, and then we will open the Q&A session, which we will try to answer with the greatest amount of detail possible. Thank you for your attendance, and I shall now give the floor to the President, Antonio Llardén. 
Antonio Llardén Carratalá: Good morning, ladies and gentlemen. Thank you much for your attention. The results we present today correspond to the 3 1st month of 2016. They're fully in line with the purchasing[ph] objectives for the quarter and in the correct tract to meet the objectives set for the whole fiscal year. 
 As you know, and as you remember, we presented the results of 2015 2 months ago and the outlook 2016, 2020, and we started a roadshow that we are continuing with meetings with our main analysts and investors in Spain and also abroad. These results have been very well welcomed by the market, and since the day of the presentation, the share price of Enagás has increased by more than 9%. Also, on March 18, we held our general meeting with a very broad approval by -- of all the agenda by all our shareholders. I shall now summarize the most important figures that you can see in the presentation that accompanies this guideline. Our operating cash flow that is our funds from operations plus the increase in our working capital has increased by 49.2% compared with the same period of 2015.
 I start my presentation with this figure, which reflects the strength of our cash flow, something which is in our meeting, in our periodical meetings with our investors and analysts, is something that is interesting for them and they do analyze it more thoroughly. The net profit amounted, as you have seen, to EUR 101.2 million, 0.5 increase compared to the previous year. This increase was made possible mainly thanks to 2 factors. 
 First, due to a larger contribution of our affiliates, especially the brownfields acquired during 2015, and secondly, also due to the positive impact of the change in the corporate tax. Further on in the questions, we will answer any doubts you may have on corporate tax.  The increase of operating expenses is the forecasted one for the first quarter in our annual budget as a result of both an increased international activity, and also to a change in scheduling of other operating expenses compared with the first quarter of 2015. Here, if you want afterwards in the Q&A session, we will be able to provide with more detail. And a clear example is that the expenses of the first quarter are cumulating all payments of some real estate taxes, so you cannot extrapolate this for the other quarters. I'm talking about of EUR 8 million to EUR 10 million on these real estate taxes. Afterwards, in the questions, we will clarify all these matters. 
 In the first few months of the year, Enagas has invested a total of EUR 71.9 million, of which 16% relates to investments in Spain and 84% to ongoing international projects. In addition, and although this is not included in the figures I have just reviewed, on March 31, Enagás signed an agreement to increase its stake in TgP, which is the Transportadora de Gas del Perú from 24.34% to 25.98%. This agreement would entail the acquisition of 1.64 of TgP from the Peruvian company,  Grana y Montero, for a total consideration of $31.9 million. This operation, if the other shareholders do not exercise their preemptive subscription rights, will take place and consolidate and be consolidated by the equity method from the date the purchase gets formalized around the second quarter of this year.
 Our solid financial position, as you very well know, is one of our main strengths. The main details with regards to this are -- I'm really sorry, but I have allergies, and it's hard for me to keep the pace. So our financial investments net that we see as of March 31, EUR 4,146 million, and that would be at a fixed rate, and it is under what we had previously, regardless of the fact that we have upfront investments. An average cost of debt of 2.3%, which is in line with our expectations, and which is on track to meet with the average net cost forecasted for year end 2016. 
 We have a leverage ratio that is from operations divided by net debt of 16.7%, which is quite higher than the one necessary to maintain what we consider our standalone credit ratings, the current ones. This is also something that I will say is a very positive data for us. So as a summary, we still have a very low borrowing cost. We have efficient liquidity that will enable us to move forward and achieve our specific objective, and we have no significant debt maturity until 2022. Having said this, in any case, in any event, we are always watching out for windows of opportunity in the market, so that we may improve our financial results going forward, whenever it may be possible.
 Per usual, I'm going to tell you about the gas demand during the first quarter. It is a bit complicated to draw conclusions. We have to really study the situation index, but I will start with some positive information. Industrial demand, which as you know, is quite an important part of the total demand, but it does not represent all of the demand, is the one that best reflects the evolution of Spanish economy. 
 Well, this demand, the comparison between the first quarter of this year and the first quarter of 2015, has grown 1.8%. This is -- further information that I want to highlight because in our meeting with the investors and analysts, they constantly ask us how we see the evolution of the Spanish economy and their situation. I recall in certain one -- since we are still thinking of maybe an intellectual process. I cannot talk about the economy in general, but well, there's 2 -- but according to our data, the one that is most linked to the evolution of all of the economy is the evolution of industrial demand and of the consumption to [indiscernible]. So this one has grown when compared to last year. It has been a 1.8% growth, and considering the efficiency after that this has -- with regards to GDP, I will say that it corresponds to a GDP that has evolved more or less between 2.5% and 2%. 
 Obviously, our past results will not justify future returns, but it is an objective data. Now with regards to our overall national demand, it has been influenced by 2 main factors that are not necessarily recurring factors that have made it go down. On the one hand, we have had unusual high temperatures, and then the -- then Easter has been at the end of March. So from the point of view of the labor calendar, it does make a difference in comparison. But there has been lower demand for gas for electricity generation caused by lower electricity demand and also by higher hydraulic output. And if we adjust the above-mentioned effects on temperature and labor seasonality, national gas demand in the first quarter has decreased by 1.4% when compared to last year. But if you want, during the Q&A session, I can obviously go in depth and tell you more about the demand and our forecast for the whole year. And before I conclude, I would like to remind you, as I usually do, the objectives that we have set for 2016, an increase in net profit after taxes of 0.5%. We are completely in line with what was expected. Dividends from our affiliates of about EUR 65 million. As you can see, it is above what had been forecasted last year for this exercise, a total investment of EUR 465 million. And what's important is a dividend of EUR 1.89 per share, which would be 5% higher than what we had last year, and all of this with a net cost of debt, which would be at around 2.7%. Although it's obvious that all through the year, we will take all the measures that we think can somehow help for us to improve that objective at the end of the year. 
 And as I said previously, the results that have been achieved this first quarter did confirm that we are reaching the objectives that we had set for the year, and we are following the right path. International activity is increasing as well, and it's the one that allows us to grow with regards to results, as well as dividends, and not forgetting obviously about the fact that the strong regulated income current that we have from our important assets in Spain are still our main pillar from the cash flow and volume point of view that also is still there. We did not forget about this. Obviously, we know that this is the strong pillar that is sustaining this strong current of income from Spain, but we have a growth as well coming from our international activities.
 We also still have a very strong financial position with well-diversified range of funding sources and we are committed to maintaining what we call current standalone credit ratings. So in this context and considering the volatility of world markets, not having any major debt maturities allows us to feel very comfortable.
 So I thank you for your attention, and you are now most welcome if you wish to ask questions and we will try to answer them as best as we can. So thank you very much. 
Operator: [Operator Instructions] The first question will be done by Fernando Lafuente from N+1 Equities. 
Fernando Lafuente: I've got 3 of them. First, on OpEx. Since Q1, the President has set clear that there are certain nonrecurring elements that I -- I'd like to know what the evolution you expect for the OpEx for the full year. The second question is on financial cost. You talked in the presentation about certain nonrecurring costs or extraordinary costs additional to the debt costs, and I'd like to know something more about them, and the third question is on the GSP project. Could you give us an update on the construction works, how they're going and the structural financing when you think you can -- you might be able to close it. 
Antonio Llardén Carratalá: So we will now answer the 3 questions of Mr. Lafuente. The 2 1st questions will be answered by the CFO, Borja García-Alarcón. He can provide you with more detail, and then I will answer to the third question. 
Francisco Altamirano: As the President has said, the way to project and obtain the total expenses of the year, starting from EUR 92 million we had in Q1, it's by normalizing the 3 following quarters, and that normalization has to be done at the levels of external services, and the real estate tax is accrued in the first quarter. This is EUR 7 million, what is in the books of in Q1, and we also have other expenses, which are periodical expenses, and with that, we will get to the end of the year of total expenses of around EUR 335 million. On financial costs, non-debt costs or costs not associated to debt that are related to exchange rates, for example, that exchange rate difference in Q1 has been EUR 2.5 million. In order to build this final picture of the financial costs of the company, we -- the net cost is around 2.5, 2.6. This figure -- this increase from 2.3 to 2.546 is due to the refinancing of a credit line of $250 million, and that credit line will go to a long-term, and we're going to increase it, EUR 100 million more to attend the dollar funding needs. This will be done in the month of May. So that will be the impact that will make this figure to pass from 2.3 to 2.546 in financial costs. Okay, and thirdly, you were asking about the GSP situation. I will answer to that. I think that the project is advancing quite well, very well. On the one side, the development of the works, we have done more than 35% of the works, understanding that some basic aspects of infrastructure works, such as of a linear kind, are almost finished, everything that is engineering, layouts, cumulation of all the material and another part of the linear development is already working. So from that stance, we are satisfied. I would even say that we have advanced reasonably well on the official calendar. That allows us to be at ease because we know that in this kind of work, there is always some individual delays. So we are better than the cruise speed. A second major point is that the funding process after a series of negotiations with banks from the sense all the banks and the Peruvian government, this is nothing new, you will be aware of it. They have reached the conclusion that for reasons alien to this project, they have demanded the best[ph] partner. Then in the coming 3 months, they must leave the shareholders their stake there that the shareholders, the third period of shareholders who have got right to give an opinion. We have coincided that the current situation of this excellent company in their origin country has a series of problems. So for the sake of this consortium, we have decided together to let them go, and the breath [ph] has already started all the necessary contacts, so that they can leave this and sell the shares. So that allows us to see in a very optimistic way the financing period that was related to these matters. On the other side, the Peruvian government demanded, and we agreed that for also reasons and -- of image and good management, they wanted for the visible heads of the consortium in order to contact authorities and everybody else. That issue will be someone from Enagás, and right now, our General Manager in Peru is precisely the spokesperson of this consortium, and he is the financial director of the consortium is also the director -- financial director of our headquarters there. So we've got excellent contacts with the Peruvian government. And the works, as such, are slightly ahead of schedule. So we are quite at ease. We've got a peace of mind here. And in order to give you more details of policies, we follow very closely the electoral campaign. And I have to say that the 2 candidates that finally will go to the second round with their system, with their electoral system, there are 2 candidates that in general terms on economic policies, and more specifically, on the importance of the gasoduct for the industrialization and improvement of the level of life in the Center and South of Peru, they are fully in line and agree with these projects. So we're very satisfied with the situation. 
Operator: The next question will be done by Javier Suarez from Mediobanca. 
Javier Suarez Hernandez: I have also 3 questions. The first one on the evolution of the gas demand in Spain in the last strategical update, February 16, you were mentioning a growth of gas demand of 4% for 2016, and then an average of 3.5% till 2020. Could you give us an upgrade of why the demand have been lower during the first quarter? And could this endanger your provisions for the short term or midterm? That's the first question. Second question, I'd like to have an update on the top project, the situation where you are in general terms and update on how you see the evolution of the project. And the third question is on the contribution of the [indiscernible] companies, the dividend of the subsidiary, the target for 2016 has not changed. Are you modifying the guidance of contribution in terms of profits in the P&L for the subsidiaries with regards to what you said on February 16? 
Unknown Executive: Mr. Javier Suarez, thank you very much for your question. First, on the evolution of the demand, I will try and going to the Q1 figures without getting too boring. As you very well know, the national global demand in Spain has the cumulation of 3 or 4 factors of the market, which are different. The most important one is the industrial consumption, representing between 65% and 70% of the demand. Well, in this first quarter, as I said, this has increased by 1.8%. The second major aspect is the domestic commercial consumption, which represents 10% to 15%, and this is the one that is fully influenced by temperatures. Well, in this first quarter, the average temperature we've had has been above 1 degree above than last year. That was off an average 1 degree more. When we talk about climate change, we talk about it will have a 1 degree or 1.5 degrees in I don't know how many year's time, and to be more precise, we have to go back in time 5 years to find such a mild or warm winter. If we do extrapolate this temperature to the full year, we would have between 1 and 1.5 degrees on average above the historical average of the last 10 years. So the temperature of Q1 has been very, very unusual. I won't dare to say that this won't happen again because, of course, climate change that is making patterns of change of behavior, but it's true that if we go back into our statistics, this data are fully out of line. Bear in mind, all of these, we have now already said that Easter took place in March, last year in April, so we've got that correction that has been done, and I have done this small exercise. I don't know how worthwhile it is. But I've tried to see for the rest of the year how would each one of these factors work assuming that our winter, the next winter, October, November this year, will be an average winter. That would -- if we add and subtract all the figures, and I won't explain all these additions and subtractions we've done, but the confusion is that in the worst-case scenario, if we start with this Q1, which is something which I cannot change, we would have a global increase of demand due to all the factors of 1%, and in the best case scenario, we would be -- it's an increase of 3%, 3.5%. So that means that industrial market would consume at the same pace as they are now, and we would be changing temperatures to average more normal temperatures. So my forecast, which is personal, I did this yesterday afternoon at my office, I was just breaking down and analyzing all the data. We will be talking about a 1% and 2%, 3% of growth in the demand, and the total of the year, of course, starting with this negative growth we've had globally in Q1 2016. We still think that with the gas structure we have in Spain, where gas for electricity demand is less important than it was 45 years ago, and the one that is most important is the industrial demand. And considering that commercial demand, if we were to get average temperatures that are reasonably similar than the ones that we have in the last 10 years, where there are always ups and downs, such as the domestic commercial demand, where the growth, the economic growth, we see if there is growth in client as well, we could maintain for 2020. That's our forecast, a growth of 3%, 4% -- more or less let's say, 2.5% with no problem, whatsoever. So that will be the summary. We have all the figures in terawatts per hour and so on, but I think that as a summary, this can give us a general vision. That's with regards to the evolution of demand. And as for the situation of the Trans Adriatic Pipeline, I will now give the floor to our CEO, Marcelino Oreja. 
Marcelino Oreja Arburúa: TgP is advancing the [indiscernible]. The contract was awarded on March 31. May 17 will be the acts of setting the first stone and the decisional act in [indiscernible] of the north of the country. And from then onwards, the construction work will start, which should follow the reasonable time. So with regards to permits, all of the problems has been solved or almost in Greece, and as for -- I think that the project is now much more solid since we have an Italian partner, who will be working in everything that has to do with putting the gasoduct in Italy underground. I think the CEO has very well explained to this because, recently, 1.5 week ago, there was a meeting in Brussels, where we confirmed the interest of the European Commission for the 2 main pipelines or corridors that have been traced, the Southeast, which is the Trans Adriatic Pipeline, and the Western corridor, which is the one that -- the MidCat, our connections with France. So in that sense, I can already inform you of 2 things, one that is already known, one with regards to the corridor in the meeting with Brussels with the commissioner on energy and climate change was in order to formalize TGIS [ph] and Enagás in the subsidy, the European subsidy being granted for all the technical studies to be finished. The most important value is not really the economic value, which is also always something that we thank for, but it's especially the commitment that the EU is showing in the specific case with the western corridor. And on the other hand, I can also announce, I think I said that during the last results that we have already finished the compression station in [indiscernible], which means that the second pillar of our connection with French, which is the best connection, is already working. Right now, it is working with a greater pressure, and the Commissioner on Energy has announced that most probably during the month of July, there will be a ceremony in France, as well as in Spain. I'm not going to say inauguration, but simply a way to show that there is a third pillar in this connection, that could increase its pressure. It will go from 0.1 DCM per year, which is nothing to 2 to 2.5 DCM's per year, which gives us a higher quality, and this commitment shown by the EU with these interconnection projects, where Enagás is present. We are present in both corridors and it also makes us feel happy and comfortable with our strategy. So -- and I think that last figures wanted us to clarify with regards to subsidiaries, dividends and then the contribution, I want to split in equivalent. So I will give the floor our CFO, so that he may clarify the situation. 
Francisco Altamirano: Thank you, Mr. President. Javier, the main contribution and the equivalent for the first quarter has to do with the contribution of Swedegas. The additional 10% of TVD [ph] and 4.34 for TgP. So all these 4 acquisitions explain or show EUR 9 million additional million euros when compared to the first quarter last year. The contribution of Swedegas is concentrated mainly in the first quarter, according to the regulatory model we follow. In order to extrapolate the first quarter, we have to take into account the 70% of the revenue generated. That first graph[ph] is in the first quarter, and the general photo for the year that has the same forecast we had at the beginning, it is -- we put an equivalent [indiscernible] which is around EUR 40 million. And with regards to dividends for 2016, we expect to be able to have EUR 65 million in cash flow, which is more similar to the contribution we had last year with our brownfield. We always explain that the best way to forecast the dividend for the next year is to see what was the contribution of our benefits after tax of our brownfield investment. And in order to calculate the whole line of equivalence, we have to take into account the purchase price allocation and the profits after tax of the company itself. To complement what has been very well explained right now, I wanted to remind you as well of the -- of what was said during the results communication and the information we have shared with you regarding our meetings with investors. Our forecast for 2016, 2020, our outlook for 2016, 2020 with regards to the investments we have always maintained, we have always included in our accounts the cost of these investments. But in general, we haven't included the complementary or new dividends. So everything that we are going to do in the future is some sort of greenfield that would obviously provide us with dividends, but beyond 2020. This was already set during the results presentation in the last quarter. Some analysts told us that it was a very conservative approach. And we admitted that was the case that we would rather have this approach. What do this mean? It means that after the explanation that our CFO has given us, is at some point this year or less -- or next year, we have a brownfield investment. That investment obviously will immediately provide us with dividends and where the constitution, but an equivalence that was not foreseen in our results. I'm just saying this to simply repeat that this is the criteria we follow. 
Operator: Next question will be asked by Mr. José Ruiz from Macquarie. 
José Ruiz: I only have one question. I wanted you to clarify your estimates, those 1% growth estimates -- growth of the demand for this year. Could you tell us what is your estimate of the growth of demand for the electrical sector for the whole year. And I'm asking you because, usually, the first quarter is a good indicator of what will be the behavioral for the year. And since there has been a drop, it's difficult to kind of find a match between 1% and 2%. 
Antonio Llardén Carratalá: Let's say, José Javier, 1% is the worst case scenario in my figures, and that's considering that this year, in total, in 2016, we had a decrease in gas or electrical generation when compared to last year. So that is a harsh forecast that would allow me to set myself in this 1%, which I think is a scenario that is really the minimum. And with regards to electricity, you have to understand that, that consumption for electricity generation is subject to so many factors that are not under our controls. That is very difficult to foresee that. For instance, we have hydraulic results that have been better this year than last year. So I can't give you any guidance with regards to what will be the level of hydraulic power this year. And even if we knew how much water is going to fall, how much rainfall there will be, we don't know what will be the use that electrical operators will make of it. So this can't really be -- cannot really be studied beforehand. And with regards to electrical demand with regards to generation, there is the impact of renewal energies, the impact of coal prices. So I have decided to have a negative vision. And opposite to what happened in 2015, in this minimum figure of 1%, I consider that it would go down. The demand would go down 5 or 6 terawatts. And if I'm wrong, the results will be better. So 1% was a worse case scenario. As I was saying, it is a scenario where we are practically stable with regards to commercial demand when compared to last year due to this first quarter that was so warm and due to a decrease in electricity demand. If these 2 factors were not to happen, then we could very easily have a growth of demand that would be close to 3. So 1% was really a negative view of the situation, considering all the broken down information that we have. I can't -- I couldn't possibly tell you whether hydro electricity is going to improve or not. So I have decided to put myself in my worst-case scenario. That is how I get 1%. If it is better and as the temperature's behavior during the cold season of 2016 is just normal, then we could go up 1 or 1.5 points, basis points, maintaining our growth of industrial consumption that could be around 22.52% and that would lead us to be closer to 3% than to 1%. So nevertheless, during the next results reading, which will be the mid-July, we will have a better figure. But you obviously -- I know this is not very rational, but it's statistical. You know that Enagás usually is quite accurate with our forecast. So we would be moving around 1% and 3% which is not necessarily an official forecast. It's just my forecast. But I think that we could just study it once again during the next results reading or communication. 
Operator: Next question will be asked by Rui Dias from UBS. 
Rui Dias: My question is just one question with regards to new gas. Could you tell us how you see the evolution of this market? What are the difficulties you're seeing, if any, and what was the impact of this market in gas prices and what is the evolution you foresee for the midterm? 
Antonio Llardén Carratalá: Well, yes. Our CEO, Marcelino Oreja, is going to answer to your question because he has followed closely the evolution of this new market. 
Marcelino Oreja Arburúa: Well, yes, MidCat has started working a few months ago. So we can't really know what its impact in the market will be. It is generating certain volume growth in prices. Not much gas is being marketed in this platform. And we understand that new agents will enter this market with new products and these prices will obviously be reduced. The price sustained will be reduced. 
Operator: Next question by Virginia Sanz from Deutsche Bank. 
Virginia De Madrid Grosse: I've got 2 questions that are very specific. One on the amortization of the PPA in the [indiscernible]. I would like to know the annual figure is more or less between 20 million, 22 million. And if that figure is a recurrent figure for the for 2020 for the estimates. And then I would like to know what do you expect to amortize this year 2016 because I see that it has decreased once again amortization. 
Unknown Executive: Yes, The amortization for the whole of the year is 2.80 million, 2.80 million. And for the amortization of PPA, the figure I've got is 21 million. So this is not recurrent til 2020 because it is conditioned and affected by greenfields as GSPs become the brownfield, the contribution of PPA will reduce substantially because it will only be affected by PAP. 
Operator: There are no more questions in Spanish. We will now switch into English. The first question comes from Olivier Van Doosselaere from Exxon. 
Olivier Van Doosselaere: Just a few. Firstly, on the operating expenses, I apologize, I didn't hear if the total expectation for 2016 was EUR 325 million of OpEx or EUR 335 million, so if you could please clarify that 1 again. And maybe also say to what extent that could affect your expectation on the EBITDA. I think you mentioned on the full year '15 results that for 2016, you expected an EBITDA around EUR 890 million. I wonder if that is still the case. And then, going forward, yes, we are seeing more activity on the international side, but then less activity, I guess, in Spain. So I wonder if you could give us a bit of a feel on how you expect your operating costs to evolve, given the mix of those 2 effects in the years ahead. And then another point on the international investment, I wonder how you see the pipeline in terms of potential new projects or M&A. Do you see a lot of activity? Is there a lot on the table there or are you seeing a relatively quiet period right now? 
Antonio Llardén Carratalá: Thank you very much, Olivier, for your questions. We'll try and to -- the CFO to answer the first questions. 
Francisco Altamirano: As I was saying before Q1, total cost of EUR 92 million out of the non-recurrent EUR 10 million. So the figure we expected for the of the whole year is EUR 335 million. Regarding EBITDA, we've got an EBITDA between EUR 880 million and EUR 895 million, depending on the pending recognitions that we might get from the system. As for the pipeline of new projects, we're still starting in principle every interesting project that in the midstream area takes place or happens in any part of the world. In Europe, we got the couple of projects in the pipeline in the sense of new projects that are starting to be studied because of confidentiality matters when we sign MOUs. Well, we cannot speak about them, but I can tell you that we've got project that may evolve in Europe, but also elsewhere according to the operations theaters that we have set of interesting countries. Well, there are possibilities of new projects, of course. Maybe here, the most important factor, which is difficult to quantify right now is the fact that we are convinced that the major vertically integrated companies have and show new instance of sales of assets that for any reason they prefer to sell those assets to get cash, and the midstream assets, we're following them. However, even anticipating, in some cases, where these cases will take place. So we'll do a very strict and thorough follow-up. Whereas, having said that, after the fact that we want to acquire or not these kind of assets, well, that will the depend, as I've said in my presentation, on February and I stressed also in the one on ones, where the investor team relations, well, that will depend on the conditions of risk, benefit and debt are the correct ones for the company. I mean, we are not going to change or alter our, let's say, chart of rigorous criteria for investing. And it's true, though, that we're convinced, and it has also taking place that we see once again a certain movement of asset sales, brownfields in these cases. In other cases, green fields, new projects, and we do study all of them, all of these possibilities. And depending on each case, we will announce a new acquisition are not, of course, we would consider that the price and risk conditions are not the adequate for the company. But more specifically in summarizing my reply, we're got the pipeline of projects that are still under study. Some of them are rather about to bloom in 2017 in -- to specify more the operation, and for brownfield, these might take place, 2016. 
Operator: The next question comes from Harry Wyburd from Merrill Lynch. 
Harry Wyburd: A couple of questions for me. So firstly, on your debt cost. You mentioned earlier that vigilant for opportunities to further reduce debt costs. I wondered if you could give us an idea of what opportunities you might have whether they're buybacks or bond maturities. And also, what you think the impact will be of the ECB's corporate bond buying program on your long-run cost of debt. Secondly, straight question on your working capital. You had a reasonably good improvement in working capital in the quarter. I wondered if you could let us know the key moving parts behind that. 
Antonio Llardén Carratalá: Thank you very much, Harry. We'll have the CFO replying to your questions. 
Francisco Altamirano: On the question on the debt, as I said, the objective of the company is to have an average life of 7 years that takes us, that with the dollars financing needs that we have, the average cost, the net debt cost would be around 2.5, 2.6. You were asking how this will affect the differentiation cost of the company from the ECB -- EBC, sorry. If you see the evolution of the secondary of our bonds -- or especially the one that matures in 20 -- of yield 25, the yield has been affected, and as the European Central Bank has been announcing these new policies the yield has contracted. And I think that all the information the market has today reflects the financing costs of the company with the secondary of our bonds. For liability management, the most reasonable thing is -- that is 2017. It's quite close, and we also have the concern of the breakeven which is -- what the premium to pay, so that the financial year is reasonable, and we're still analyzing this, and that's maybe the only option available. 
Operator: The next question comes from Maurice Choy from Royal Bank of Canada. 
Antonio Velázquez-Gaztelu: [indiscernible] one other questions that Hayy asked about, and the CFO is going to answer to that question. 
Francisco Altamirano: The main driver of the company's working capital is deficit. Since we have understood that for 2020, 2021, the deficit of the gas system will be completely absorbed, the company will start generating from 2015 til 2020. We will have a cash flow generation of around 400 million. And in particular, in 2016, we are going to have an effect. Enagás is contributing with 40% of the deficit that is generated this year, which are 506 million as a consequence of generated -- of understanding that there was a debt generated by [indiscernible], and part of the revenue of [indiscernible] will come to Enagás and the difference between one and the other explains that the cash flow needs will -- explains the cash flow needs for other companies. So until -- from here til 2020, 2021, we will have positive results with more or less 300, 350. And as a complement of this estimation, I want to say that when the regulatory in change took place for the gas sector at around 2014, all of these figures have including foreseen costs had already been foreseen. So we already knew that for 2015, 2016, we would have in the system a series of assets which had already been built that would have their own cost, and on the other hand, this would balance where the income of the system and the evolution of the demand, which is now working as it should, completely in line with the forecast, the assumptions that the regulator did 1.5 year ago. So we still maintain, and I actually recently said during a meeting with the Secretary of State in securities[ph], who I have faith on the new chief. [indiscernible] talk about different things. And I told him once again that the figures that were crunched in 2014 in order to sustain the whole new regulation seem to be quite accurate, and are [indiscernible] correctly in the period that was speculated, which was 2015 till 2020. So we are in line with what has been said. 
Operator: The next question comes from Maurice Choy from Royal Bank of Canada. 
Maurice Choy: Two questions for me. The first question is more of a look back into the outlook for 2016 to 2020. I recall that you've dedicated EUR 215 million for international activity. Of that, 60 was committed, and the remainder was uncommitted. Can I just get a little bit of update on that split, how do you tend to see that, has that not changed, or based on what you've seen, do you see a tendency for that to move either direction? And second question is more about strategy. Obviously, right now, you've listed LatAm as being where -- most of your growth. You've spent a lot of time there, and my question's more about how much time have you spent, looking eastward, rather than West of Spain? 
Unknown Executive: I'm going to do a summary of what our investment philosophy is. First of all, we have a 2015, 2020 outlook, where we talk in general about an average investment of EUR 400 million per year. In the specific case of 2016, it's our year. It's a bit easier to be more specific we talk about 465 million as a general criteria. We said that it can be 50% in Spain, and 20% -- 50% outside, and the part that's outside, half of it are committed expenses and the rest is -- so for instance, it could be new investments. Having said that, what factors could alter -- altering the positive sense, obviously, upwards or downwards, the situation in the case of Spain, everything has to do with environmental permits and so on. And as a matter of fact, we've already seen that in words can -- or investments can be delayed, for instance, this year, we had foreseen -- to initiate the [indiscernible]. And we are still waiting now at the months of April for the last part of the environmental impact declaration. So in order to be honest with you, since our government is still not an official one, we can't really give you a date. But in a normal situation, we should be able to get that document in a 1 to 2-month period. So this is almost finished, but I can't be as precise as I would like because the government is still not the official one. There might be a delay with regards to investments in Spain. We will see that. It's not a figure. It's not a very important figure anyway. So this does not -- this means that we would have around a bit more cash flow to the investments in foreign countries, and it depends on whether it is green or brownfield. But that is difficult to anticipate since we study also projects that have an immediate impact in our results or maybe in the long term. In the case of our strategy, we maintain the idea that one of the access is to study everything that has to do with re-gasification plants all over the world. There are a couple of projects on the table right now in different parts of the world, and obviously, we are following closely all the studies. And as a matter of fact, in one of our projects, we are somehow, we have already been pre-accepted or prequalified a Microsoft partner. So we still have 1.5 years to study this, so that we may give our final answers whether we consider it viable or not. So this is [indiscernible] from example, really, something we initiated last year, but it's going to be developed this year quite intensely, and we will have our final results, positive or negative, at the beginning of next year. So that's an example. We are still looking into projects such as this one. And as for re-gasification and what we call the liquid natural gas chain, obviously, the situation of over offer that we have right now are low prices. So we have right now has made for those projects that weren't very developed to slow down. Instead of having 3, 4, 5 projects, we right now are selling only 2 projects, which are quite good projects, quite feasible projects. But if they want to see it live, they wouldn't see it until at least next year. So we are still in that sense following our traditional philosophy of not doing things without thinking them through and living [indiscernible] consider too risky or those projects that simply do not interest us. And those that do interest us, we will be the ones who will study in depth. We will dedicate time to then. So in order to summarize, I can call you that the average time that it takes us from the detection or a birth of a project. So when a project is born to the moment when we say that the project is interesting or not can take around 2 years time. So projects that could get the greenlight this year, because we are acquiring them this year or a similar situation will be projects that we started studying in 2014. And those that we are starting as of today, we will provide us with a result with around 2017, 2018. 
Operator: There are no further questions in the conference call. Thank you. 
Antonio Llardén Carratalá: Thank you very much, everyone. And we are open, obviously, to get more questions from the department of relationship with the investors, [indiscernible] we'll be obviously available to answer your questions in detail. Thank you very much and see you during the next conference call.